Operator: Good day, and welcome to the ThermoGenesis Holdings Conference Call and Webcast to Review Financial and Operating Results for the Third Quarter Ended September 30, 2022. As a reminder, all participants will be in listen-only mode. There will be an opportunity to ask questions at the end of today's presentation. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to our host, Paula Schwartz of Rx Communications. Please go ahead.
Paula Schwartz: Thank you, operator. This conference call contains forward-looking statements within the meaning of the federal securities laws. The Company's actual results may differ materially from those projected in the forward-looking statements. Additional information concerning factors that might cause actual results to differ materially from those in the forward-looking statements is contained in the Company's periodic reports filed with the Securities and Exchange Commission. The information presented today is time sensitive and is accurate only as of the date of this call, November 10, 2022. If any portion of this call is being rebroadcast, retransmitted or redistributed at a later date, ThermoGenesis will not be reviewing or updating this material. Participating on today's call are Dr. Chris Xu, Chief Executive Officer; and Jeff Cauble, Chief Financial Officer, excuse me. I'd now like to turn the call over to Chris. Please go ahead sir.
Dr. Chris Xu: Thank you, Paula, and thank you to everyone for joining the call this afternoon. We appreciate you taking time to listen in. During the third quarter 2022 we continue to progress our transition to become a high performance integrated CDMO for the cell gene therapy market. As announced in October, we completed a financing raising aggregate gross proceeds of approximately 2.05 million, which will help to support the planned launch of our TG Biosynthesis division. As most of you know, for over 35 years, ThermoGenesis has pioneered the development and manufactures a series of innovative automated technologies and products specially for the cell banking and cell therapy industry. ThermoGenesis has been the provider of choice for automated cell processing and automated smart cryogenic storage technologies for some of the world's most important public and private cell banks. Our BioArchive cloud storage system has warehoused close to 90% of all U.S. FDA ELA-approved clinical grade cord blood units, or CBUs, and our AXP System has been used to process well over 1 million ampoules from many institutes globally. The world. In addition to our manufacturing know how in cell and gene therapy, the intellectual properties we have amassed over the years is invaluable. As more cell based therapeutics, such as CAR-cell therapies received FDA approval, the demand for manufacturing of these life saving therapies continues to grow. As we speak, there are more than 350 U.S. companies alone working in the cell therapy arena and more than 1000 pipeline assets are in clinical department globally, targeting a range of blood and solid tumors. The continued explosion in research and development is made possible by the incredible potential inherited in current commercialized therapies and the future possibilities provided by additional personalized cell gene therapies. Since 2017, six autologous CAR-T cell therapy has been approved by the FDA. Recent reports showed that the industry anticipates additional FDA approvals, with as many as 10 to 20 new therapeutics each year, starting in 2025. At the same time, there remains a critical and growing unmet needs for manufacturing of these complex therapies due to the continued challenges created by the high production cost, technological inefficiencies and limited global capacity. Drug manufacturing today is still the largest component of the cost of CAR-T cell therapy with listing priced ranging, as I mentioned many times, around 373,000 to 475,000 depending on the specific drugs and indications. Thus, there is a significant need for high quality cGMP manufacturing at a reasonable cost. These dynamics have led to a rising CDMO partnership activities as more and more biopharmaceutical companies and other industrial participants recognized the urgency of the increased demand for cell therapies and the limited available of good manufacturing practices facilities. Moving away from manual process will be the key to facilitating fast timelines and getting these life saving drugs from bench to bedside. Therein lies the opportunity for ThermoGenesis to play a crucial role in the availability and use of these emerging cell gene therapies in both the research and real world clinical settings. In response to this tremendous backlog for us products at the research, clinical and commercialization stage, as outlined earlier, ThermoGenesis is working to contribute by adding needed cGMP manufacturing space, promoting cost efficiency through automated and fast processing time and providing comprehensive manufacturing services. With that we continue to make significant progress towards launching our TG Biosynthesis to the [more division] and building out our approximately 35,000 square feet of laboratory and office space in Sacramento, California to create a state of art cGMP compliant facility with 12 cGMP clean room suites to support the industry's manufacturing requirements. As an integral part of this plan, we will leverage our proprietary high efficiency semi-automated CAR-TXpress platform, which has shown the ability to tangibly reduced processing time, improved cell recovery and potentially cut manufacturing costs associated with CAR-T and other cell gene therapy by up to 50%. The aim of the new division is to address the growing needs for broad and integrated the CDMO services. By providing high quality development and manufacturing capacity, cell and tissue processing development, quality system, regulatory compliance and other cell manufacturing solutions for clients with therapeutic candidates in various different stage of development. In summary, ThermoGenesis has strong intellectual property, cutting edge technology, and manufacturing service expertise. And when build out the ability to address scalable demands for access the state of art manufacturing capacity. We remain laser focused on launching the TG biosynthesis division and our CDMO services to customers in the cell and gene therapy field in the coming months. And with that, let me turn the call over to Jeff to hear the key financial results for the third quarter. Jeff?
Jeff Cauble: Thank you, Chris. Net revenues were $2.1 million for the quarter ended September 30, 2022 as compared to $3.2 million from the same quarter last year. While the current quarter’s revenues were lower, it was primarily just a timing difference related to AXP disposable sales to our distributor in China. In 2021 they placed their annual order in the third quarter 2022 it was ordered in the second quarter. Overall year-to-date sales have increased by almost $1 million from $6.9 million for the first three quarters of 2021 to $7.8 million this year. Our gross profit for the quarter ended September 30, 2022 is 400,000 or 21% of that revenue, compared to $1.1 million or 35% of net revenue for the quarter ended September 30, 2021. The decrease is driven by lower revenues in the current quarter, and by higher costs from AXP disposable contract manufacturer. Selling general and administrative expenses were $2 million for the quarter ended September 30, 2022, as compared to $1.7 million for the quarter ended September 30, 2021. Driven by rent expense for the company's new CDMO facility. For the quarter ended September 30, 2022, the company reported a net loss attributable to common stockholders of $3.2 million, or $0.10 per share, based on approximately $31.3 million shares outstanding. This compares to a net loss of $1.8 million or $0.15 per share based on approximately 11.9 million shares outstanding for the quarter ended September 30, 2021. The company ended the quarter with $3.9 million in cash. This concludes our prepared remarks. So now I'd like to turn the call over to your questions. Operator?
Operator: We will now begin the question and answer session. [Operator Instructions] The first question comes from Sean Lee with H.C. Wainwright. Please go ahead.
Sean Lee: Hi, guys. Good afternoon and thanks for taking my questions. I just have several. First is on the current business on the [AIX]. I was wondering, you mentioned in preparing my remarks that the difference from last year was due to the timing of your bulk order from a distributor in China. I was wondering, how does that look like in the fourth quarter? Is that going to be normalized back to previous levels?
Jeff Cauble: Yes. The international sales will be roughly equivalent for the fourth quarter. But we do anticipate that year-over-year revenues will be up. We are seeing a fairly significant increase in our domestic revenues this year as opposed to 2021. A lot of factors they were lowering 2021. COVID was one. Some restocking issue amongst our service was another. But all that's kind of flushed itself out. And we're back on a normal trajectory with revenues increasing domestically. So we should see the full year 2022 revenues be higher than 2021.
Sean Lee: Great to hear that. Moving on to the CDMO business. I was just wondering, what's the expected timing for when the your manufacturing facility will be able to come online. And once it does, how much business per year do you expect you'll be able to handle at the new facility?
Dr. Chris Xu: Sure. Hi, Sean. So with regards to CDMO operation, we are targeted to have the facility handed over to us in the first quarter next year. And we were start operating from there. And meanwhile we do have internal activities. So that's ongoing to address many of the quality system and also process development. The facility once it's viewed, it contains 12 cGMP rooms. So the design capacity is about 10,000 dose per years. That's the design capacity. And whether it's that so those cGMP suite were mainly attribute to manufacture two different products. One is the traditional non-gene modified cell products such as mesenchymal stem cells and so on. And we target to launch those products at about in the range between $15,000 to $25,000 per dose range. But, as we speak nothing has been finalized this during final planning stage. The other is the CAR-T cell therapy which currently the market produced those CAR-T therapy at between 100,000 to 120,000 per dose, and that's the cost which has been problematic. With our new cutting edge technology we hope we can launch the service at half of that price, but still quite significant in terms of revenue, hopeful rate for the company.
Sean Lee: Great, very helpful. Final question is also on the new facility. So you mentioned the cost saving potential from the new facility compared to what companies are currently using. What about in terms of timing? Like how short? What's the time savings with the new facility? And also, you mentioned that you could help improve the cell yields as well. So how does that look like?
Dr. Chris Xu: Yes, sure. So the benefit of our proprietary system is that we can get a much higher yield initially, and shorten the processing times. So when you have more starting material what's the benefit to the patient is that it require less doubling to get to the clinical dose. So those less doubling are beneficial, not only in terms of time is saved. But probably more importantly, from scientific perspective. It makes the cell less exhausted, or less energic Because one thing that known to the field is that if you expand the cell too many times, and when you expand the cells too many times what could causing issue to the cells are the cells become exhausted. As they undergone a process called apoptosis or energy, which basically making those cells less physiologically active. And hopefully with the new technology, we have more starting material. We can benefit the final production of the cell gene therapy by causing the cell less likely to be a energic or exhausted. Hope that makes sense to you.
Sean Lee: Yes. That was helpful. Thanks for the additional color and that's all the questions I have.
Dr. Chris Xu: All right.
Jeff Cauble: Thank you Sean.
Operator: This concludes our question and answer session. I would like to turn the conference back over to management for any closing remarks. 
Dr. Chris Xu: Thank you, operator. We look forward to updating you our progress during our fourth quarter 2022 call and thank you to everyone who participated today and for your interest in ThermoGenesis Holdings. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.